Operator: Good day and welcome to the TravelCenters of America's First Quarter Financial Results Conference Call. This call is being recorded. At this time for opening remarks and introduction I would like to turn the call over to Director of Investor Relations, Ms. Katie Strohacker. Please go ahead.
Katie Strohacker: Thanks, Laura. Good morning and thank you for joining us. We will begin today’s conference call with remarks from TravelCenters' CEO, Tom O’Brien, followed by TravelCenters' CFO, Andy Rebholz, and then we'll take your questions. Today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and federal securities laws. These forward-looking statements are based on today’s present beliefs and expectations as of today, August 22, 2014. The company undertakes no obligation to revise or publicly release the results of any revision to the forward-looking statements made today other than as required by law. Actual results may differ materially from those implied or included in these forward-looking statements. Additional information concerning factors that could cause our forward-looking statements not to occur is contained in our filings with the Securities and Exchange Commission. Investors are cautioned not to place undue reliance upon any forward-looking statements. The recording and retransmission of today's conference call is prohibited without the prior written consent of TA. And with that I will turn the call over to Tom.
Thomas M. O'Brien: Good morning and thank you for joining our call. I am here today to report TA's first quarter 2014 financial results. First quarter 2014 EBITDAR was $75 million, or 31% higher than the 2013 first quarter. For the first time since TA became a publicly traded company in 2007 TA generated net income for the first calendar quarter. The $200,000 of net income for that quarter represented a $12.3 million or $0.42 per share improvement over the net loss in the first quarter of the prior year. Most listeners understand that the first calendar quarter of each year is when TA has historically produced its weakest financial results. Trucking activity typically is slowest in the first, then picks up in the second and third quarters and slows again in the last three months of the year. TA management and employees across the country are successfully executing our strategy to deliver a competitive fuel price coupled with superior amenities and services. During the 2014 first quarter we continued the trend of ramping positive results at recently acquired sites, took advantage of short term fuel purchasing opportunities, integrated 31 gasoline and convenience stores acquired in late December 2013 into our operations and made positive strides in the growth of newer products and service initiatives, including Reserve-It! parking, RoadSquadConnect, RoadSquadOnSite just to name a few. Success with these initiatives largely continued into our second quarter of 2014, although as you likely know, our second quarter 2014 will contain a tax provision while the second quarter 2013 tax provision was minimal. While Andy will run down the first quarter results in more detail in a moment I would like to call attention to a few highlights. One, non-fuel revenues for the 2014 first quarter were up by $45 million or 14% over the prior year quarter. Two, non-fuel gross margin dollars for the 2014, first quarter increased by $22 million, or 12% versus the prior year quarter. Three fuel margin per gallon for the 2014 first quarter increased by 19% to over $15 million over the prior year quarter. This increase was partially due to temporary conditions in certain fuel supply markets that we were able to manage to our advantage in fuel purchasing. The benefits from these circumstances ceased by the end of the first quarter, but likely amounted to about $0.02 a gallon in that first quarter. Four, site level operating expenses increased over the prior year quarter, largely due to acquired sites. On a same site basis the ratio of site level of operating expenses to non-fuel revenues improved by 160 basis points. We believe TA is taking advantage of our large size and our operating leverage. Five, we generated EBITDA of $10 million during the 2014 first quarter at the 62 properties we've acquired since the beginning of 2011. For the 12 months period ended March 31, 2014 these 62 properties generated EBITDAR of $33 million, an increase of $23 million over the EBITDAR generated by the same sites for the 12 months period ended March 31, 2013. And six, during the first quarter our total fuel sales volume declined by about 0.2% versus the prior year quarter. I believe this reflects the increase from the acquisition of additional sites and the continued improvement in results at acquired sites, is largely offset by one, continuing fuel efficiency and conservation measures implemented by trucking companies; two, the effects of the severe winter weather in large parts of the country during the 2014 first quarter; and three, our final exit from the wholesale fuel business. I continue to believe that the attention we've devoted to customer service to selectively buying new sites to improving our facilities and to controlling our operating costs has allowed us to improve our bottom line in a slowly improving economy during the early parts of 2014 and has positioned TA for profitably for the full year 2014. While we're pleased with the effects our efforts have had on financial results we remain focused on further enhancing operations. We've undertaken a number of initiatives that I believe may make significant positive contributions to our future financial results. We continue to opportunistically take advantage of external growth opportunities. To-date during 2014 we purchased two travel center businesses for an aggregate of $17 million. We currently have agreements to purchase another three travel centers for an aggregate of $13.4 million that we expect to close this year. Our continued focus on ramp up and integration at new locations is contributing smartly to our ability to grow our operating results. We also of course continue to focus on internal growth initiatives, many of which I've mentioned in the past. I believe that TA's focus on the customer service and efficiency are two things we do better than anyone else in our industry. They also happen to be things that customers are more focused on now more than ever. Great customer service including fast, friendly staff, clean facilities and a broad array of amenities and services add to driver customer satisfaction and these factors are important to many fleets struggling with driver recruitment and retention these days. We expect trucking companies to increasingly direct their drivers to locations like ours that may add to the driver's job satisfaction and well-being. Driver efficiency like that stemming from adequate parking or co-location of fuelling and maintenance facilities is increasingly sought after by trucking fleets as they are forced to keep up with a regulatory environment that has tended to reduce available drive time per driver per day. As I frequently pointed out in the past TA has the largest number of truck parking spaces per location and the largest heavy duty truck repair business in our industry employing more than 2,500 truck mechanics and offering roadside breakdown assistance throughout the inter-state highway system. A quick update on LNG, in May we opened our first LNG fueling station, constructed pursuant to our agreement with Shell Oil. We currently have two more LNG fueling stations under construction. We expect to begin construction of an additional three or four sites by year-end. And now Andy Rebholz, our Chief Financial Officer will review our first quarter results in more detail. After Andy's comments I'll make some closing remarks and then we'll answer questions.
Andrew J. Rebholz: Thanks Tom and good morning everybody. I'd like to make some more detailed comments about some key financial results for the 2014 first quarter. When I refer to same site results in my comments I mean the results at only those sites that we have continuously operated since the beginning of 2013. We reported EBITDAR of $74.8 million for the 2014 first quarter, an increase of $17.8 million or 31.2% versus the first quarter of 2013. In the first quarter of 2014, TA generated net income of $197,000 or $0.01 per share, a $12.3 million improvement over the prior year quarter. As a reminder TA's business tends to reflect seasonal changes. The first quarter of each calendar year generally produces our weakest financial results. The second and third calendar quarters generally produce our best financial results. On a same-site basis our 2014 first quarter fuel gross margin increased by $10.2 million or 13.3% more than in the comparable 2013 quarter. Our per gallon fuel gross margin increased by 19% on a same-site basis but this was offset somewhat by a decline in our same-site fuel sales volume. Our non-fuel revenue on a same site basis during the 2014 first quarter increased by $19 million or about 5.8% versus the 2013 first quarter. We believe that the increase in same site non-fuel sales reflects the impact of our various customer service and expansion initiatives at our existing sites such as diesel exhaust fluid and reserved parking. Our non-fuel gross margin as a percentage of non-fuel sales on a same site basis increased by 60 basis points over the prior year quarter to 56.4% in the 2014 first quarter. We believe that this increase is largely attributable to a modest shift in the mix of our non-fuel products and services sold, partially as a result of the benefits to our truck repair business with an unusually severe winter weather during the 2014 first quarter. Our site level operating expenses on a same-site basis for the 2014 first quarter increased by $5.3 million or 2.9% versus the 2013 first quarter. This increase reflects the higher volume of sales in the 2014 quarter. The ratio of operating expenses to non-fuel revenues improved, that means declined, by 160 basis points from the 2013 quarter to 54.2% in the 2014 first quarter. Importantly, our same site gross margin in excess of site level operating expenses for the 2014 first quarter grew by about $17.2 million versus the 2013 first quarter. Our selling, general and administrative costs of $26.8 million for the first quarter of 2014 increased by $3.6 million or 15.4% over the 2013 first quarter. This increase primarily is due to the approximately $3 million of non-recurring expenses such as audit and other fees related to our 2013 year-end and a transition bonus paid to certain administrative personnel at Minit Mart that was negotiated as part of the purchase agreement for that business. Our rent expense for the 2014 first quarter increased by $2.2 million or 4.3% over the 2013 first quarter due to the rent payable in connection with improvements at sites we leased from HPT that were funded by HPT during 2013. Our income tax provision for the first quarter of 2014 is not reflective of the effective tax rate we expect for the full year of 2014 of 42.5%. And now I turn the call back over to Tom.
Thomas M. O'Brien: Thanks Andy. I hope folks on the call are as pleased as I am with the results for the first quarter of 2014. As reported -- as we reported during our last call we're making progress with the administrative items that have us led to delays in recent earnings reports and SEC filings. I do apologize for the short notice for this call but I saw no reason not to make our release as soon as it was available. We will of course be available to try and answer questions as we always are after this call has concluded. While our second quarter report is not yet filed we believe we may be current with our financial reporting beginning with the report related to our 2014 third quarter. Andy and I will take your questions. Operator, do we have any?
Operator: Thank you. (Operator Instructions). And our first question is from Ben Brownlow from Raymond James. Please go ahead.
Ben Brownlow: Hi, good morning. Congrats, great, good quarter.
Thomas M. O'Brien: Thank you.
Ben Brownlow: You commented on the supply market, can you give a little bit more color on what favorably impacted that $0.02 per gallon for the first quarter?
Thomas M. O'Brien: Yeah, the supply market particularly in the Northeast, say quadrant of the country in the first quarter and in the winter time it's really kind of been effective probably most acutely in this year but we've seen some of this a little bit in the prior two years by call it a shakeout of supply chains, having to do with the transport in the industry of crude versus finished products. That's a long way of saying when we buy we don’t always buy on the basis of let's say for example of OPIS average which is how we sell. And when we buy many times we're buying on OPIS but many times we're buying on spot, but the real driver there is buying on the Platts-based price. And so that makes - Platts-based pricing was generally more favorable than other kinds of pricing. And we took advantage of that, had a fairly high percentage of our total in those areas, based on Platts. Now certainly right now that seems to have been isolated, certainly it seems likely to be a seasonal event but whether it will repeat every season remains to be seen because as you know while sometimes when supply chains change it causes temporary disruption till the whole sort of infrastructure rebalances itself and I expect that will eventually happen.
Ben Brownlow: That's helpful. And kind of looking at the underlying traffic and demand trends in the quarter, I don't know how much insight you have and sort of kind of what you're seeing between the fleet and individual consumer but any color there in terms of traffic patterns or purchasing behavior?
Thomas M. O'Brien: I think probably first quarter this year versus first quarter 2013 was -- likely benefited a little bit from -- was likely hurt a little bit from a drawdown in inventories generally speaking. But by and large we continue to see, I would say slightly positive generally results in terms of traffic and those kinds of drivers. So not leaps and bounds, not negative, but bouncing around in the low single-digits, that's our take.
Ben Brownlow: And just last question from me, what caused the delay in the March quarter versus your original expectations on that filing and any color you can give on the timing of the June quarter filings as well as any impact to the compliance on debt covenants there?
Thomas M. O'Brien: First, there’s been no debt covenant issues whatever, whatsoever. I will say that -- taking your question in the reverse order that we appear to be on track to completing the second quarter slightly faster than the first quarter. And as to your first question it's kind of like that fourth quarter process kind of knocked us off our rhythm and our bicycle and we're getting back on, it just takes time.
Ben Brownlow: Great, thanks again guys.
Thomas M. O'Brien: Okay.
Operator: Thank you. (Operator Instructions). We'll go to the line of Bryan Maher from Craig-Hallum Capital. Please go head.
Bryan Maher: Good morning guys and really a terrific quarter all around.
Thomas M. O'Brien: Thanks Bryan.
Bryan Maher: Could you just give us a little bit color on what the competitive landscape's looking like. I think one of your competitors was doing some double-dollars I think late spring through summer and a double point and you guys are doing diesel dollars, can you just give us kind of the lay of the land on what's going out there and kind of how see that may be for the balance of the year?
Thomas M. O'Brien: Yeah, I think our marketing programs are every bit as good as our competitors. And so maybe we cancel each other out. I would say that we have these days been and for the past few years here, I think, been leading instead of following and I think that's a good position. Our competitors are as fierce as and capable as they ever were. But I will say that the things that we have been pushing on for the last few years in terms of that whole mantra of competitive price and a lot more efficiency and satisfaction that seems to be working very well on the current environment where driver retention is issue and driver satisfaction is an issue, driver efficiency is an issue, those are probably the -- they are -- let’s put it this way, they are often talked about certainly by public trucking companies most of which are our customers. And we believe that we have things to offer that can be very helpful to all of those big issues, and so driver satisfaction and retention. One thing a fleet might do is send their drivers to a place where in our view they get the cleanest shower, the most available amenities, as to driver efficiency, getting more actual drive hours per day or per shift is important to a lot of fleets and making changes where a driver can fuel in the exact same place that he eats or gets his vehicle repaired or maintained has some benefits that are becoming apparent to many fleets.
Bryan Maher: Thanks, that's helpful. And last quarter when you reported I believe you gave some pretty good color on how you were thinking about growth via, whether it's Greenfield developments with this seven or so properties that you own, I think you are looking to develop may be two of them, the opportunity to acquire more Minit Mart type C stores and the opportunity or maybe lack thereof more recently of more buying distressed truck stops and upgrading them. Can you talk a little bit about has your view on that changed at all over the past couple of months since we last had a conference call with you?
Thomas M. O'Brien: Well, let me give you a rundown, I think there are opportunities to buy, continue to buy truck stops at below replacement costs and that pipeline is -- we've got 300 contract and we're looking at a handful after that, greenfield sites that still are on the radar. It maybe two, it maybe three over the next, call it year or 18 months. As far as C stores go, I think we did when we purchased Minit Mart we did that on a standalone basis not as I am loss leader and all of that. I am comfortable with that remaining, honestly if it remained our only C stores that'll be just fine, if the reason for that, that's because pricing for C stores is getting a little rich. And when I say rich, I mean returns lower than what we can get from doing other things. There have been some pretty big headline stories about C store acquisitions. Mostly I think those are to-date call it, the prices seem a little bit rich for our blood and whether or not that will translate into a frenzy of buying and acquisition prices is sort of yet to be seen but if it becomes a frenzy, I plan to watch it and not participate. So we still see opportunities in the C store business, of groups of C stores that are about the size of the Minit Mart acquisition plus or minus a little bit. And so we're still looking and we do today see some opportunities but I am aware of some of the things that can happen in particular property types of markets. I have seen it many, many times in a lot of different property types, its better watch than to jump in, if that happens.
Bryan Maher: Thanks. That's good color. And then just lastly, the Wall Street Journal you probably saw the piece maybe was six weeks ago on the severe shortage of truck drivers in this country and I got to believe if they can start to backfill some of those vacancies that, that would be really good for your business. How do you think about that and how and when do you think that shortage might be broken thus kind of given the next leg up to potentially higher fuel volumes at your same store sites.
Thomas M. O'Brien: It's interesting. That's a very long term trend even though it’s been in the paper recently. It seems to me -- it feels to me like for years and decades it’s sort of been coming and it will likely take years, all other things being equal, to continue to attract or to attract more folks to trucking. Now all things are not equal. Many public trucking companies have announced increases in driver pay and that’s likely to have some impact. Again I believe that the things that we're doing in terms of customer service and amenities, all the things I went through before can also have an impact and to the extent that I can convince our customers that I am right about that, that will be good for us. We've also taken a longer view to while it’s not likely to have much of an impact in the -- today or next quarter or next year we've taken a bit of lead position in the industry to promote sort of respect for truck drivers and the truck driving profession. And I won't go through all of the things that we've done but it’s no small effort to do that and to make it withstand it but the industry is noticing and hopefully that will have positive long-term effects as well.
Bryan Maher: Thanks, Tom we really look forward to getting your second quarter numbers.
Thomas M. O'Brien: Okay, Bryan. Thank you.
Operator: Thank you. And our next question is from Russ Silvestri from Skiritai Capital. Please go ahead.
Russ Silvestri: Hi good morning.
Thomas M. O'Brien: Hi, Ross.
Russ Silvestri: Hello. Question, as it relates to your CapEx particularly if you look at the CapEx spend in the quarter how does that breakdown, let’s say maintenance versus growth?
Andrew J. Rebholz: Yeah I think while our maintenance CapEx is likely $67 million a year. So we're looking at the rest of that being internal and external growth. I mean does it breakdown exactly equally, no but 15 to 20 in the -- you got to add up a bunch of different numbers here, so we got about $20 million. So you are talking about probably half of that is maintenance.
Russ Silvestri: Okay, and the other question I had, as it relates to your ability to buy on Platts in the pricing, why does that -- why is that ability to take advantage of that pricing is unique to you and is that always the case? I guess it wouldn’t always be the case but why was it the case this time and how can you keep doing it?
Thomas M. O'Brien: I don't think I -- I definitely don't believe it's unique to us, that one thing. But normally the spread between -- summarizing it a little bit the spread between an OPIS-based price, which is how we sell in a lot of the cases to fleets and a Platts-based price which is how we purchase some of our fuel, is not as great as it was in the first quarter and that's what I was getting, that spread widened and to the extent that's wide with OPIS over Platts, that evolves to our benefit, follow me?
Russ Silvestri: Yeah I get it, I guess, just trying to understand may be a little bit what's behind that, is it the refinery nearby that allows that -- there have favorable crude slate and allows them to sell cheaper at that one spot and you are able to buy there and pick it up there, I was just trying to see a little bit more --
Thomas M. O'Brien: Basically OPIS is more really, you think about it as OPIS is a little bit more localized than Platts-based and so where you have localized high demand due to demand for heating oil or demand for -- due to severe weather coupled with difficult supply in part caused by the demand and in part caused by things like a lack of Jones Act tanker carrying finished product then the localized become more acute than -- you got it?
Russ Silvestri: Yeah, I got the localized aspect of it. And my last question is related -- when you said opportunities to buy below replacement cost, I thought you said 200?
Thomas M. O'Brien: I am sorry, 200 what?
Russ Silvestri: What was the number that you said that you -- out there that you're looking at in terms of being able to buy below replacement costs?
Thomas M. O'Brien: I don’t think I gave a number but what I was talking about was, I think the question was whether or not we still see opportunity to buy to distressed truck stops…
Russ Silvestri: Correct, yes.
Thomas M. O'Brien: I think that there are those opportunities. I think we've got, I know we have three under contract now. And there are -- I think what I said there were some behind that, it's not 200. It's -- we always seem to have half of dozen or 10 that we're looking at.
Russ Silvestri: Got you. And my final, final question would be you started the reservation process, I was just curious do you have any statistics or metrics of how many stalls you sold based upon your reservation process? I thought that was something that you had some traction, I guess this is about a year ago now. And I was just curious how much that's growing if that's having impact on getting [people spend with you all].
Thomas M. O'Brien: Yeah I apologize, I don’t have those numbers right in front of me but there are -- they do continue to increase and in fact, we just, I think it was this week or last, launched a couple of things to make it a little bit easier for our reservations to be made. Both of those are in a pretty popular smartphone app that a lot of drivers use. One element -- one of the two elements is that we now have enough data of our truck parking space utilization to be fairly comfortable in predicting the availability of truck parking at a particular time and a particular day forward. And that the second element is that app now allows you to make a Reserve-It! Parking reservation through the app. So for example in the past we would be able to tell folks generally if you are looking at your app how many spaces, I mean truck parking spaces remain open at truck stop X. That provided some information but if you are not going to get to truck stop X until Tuesday you are not using your app for that. Now you can go and pick the route generally speaking and make an assessment of whether or not you think we will give the information to allow you to make the assessment of whether something is likely to be available when you are planning a route, when you expect to get there. And if that number is low then you can connect right there. So I think there is some enhancement to be had there. We continue to ramp up pretty well in terms of the number of reserved paid spaces.
Russ Silvestri: And just in terms of the financials being delayed, I was curious if you were to allocate an amount of time the distraction to you in terms of on-time but has it impacted your ability to run the business at all?
Thomas M. O'Brien: Well considering that those issues were plaguing us in the first quarter I would say absolutely not. Am I spending more time, and Andy spending more time on getting sort of back on that bicycle, absolutely but what's been suffering is sleep and leisure time and not business time.
Russ Silvestri: Thank you very much.
Thomas M. O'Brien: Thanks, Ross.
Operator: Thank you and there are no further questions in queue. Please continue.
Thomas M. O'Brien: Okay, folks again sorry for the short notice, appreciate your participation today and we look forward to our next call, thanks a lot.
Operator: Thank you. And that does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.